Martin Bouygues: Ladies and gentlemen, good morning. Great pleasure to welcome you for this longstanding tradition of introducing our Half Year Results, I am all the happier to make this presentation that the results are very good. This morning, the results will be commented by Olivier Roussat, who is CEO of our group and Pascal Grange, who is in charge of finance, in particular. They will then take your questions at the end of the presentation alongside the CEOs of our five business sectors, who were all here this morning. As you will discover this morning, the group has achieved excellent results, which demonstrate the group’s resilience in an environment that is unfortunately still impacted by the pandemic. The sales and earnings are up sharply by comparison with the first half of 2020, which in turn was hit by the restrictive effects of the pandemic. The good news is that results are back to their pre-crisis level. That said the group’s financial structure is very robust with record level of liquidity and net debt at a historically very low level. Because of these excellent results, we are revising the annual guidance upwards. That said I will now give the floor to Olivier Roussat for a detailed review of the group’s performance and our various operations. Thank you.
Olivier Roussat: Thank you, Martin. Let’s move on to Slide #5 and take a look at the key figures. Revenue was €17.4 billion for H1, which is a remarkable comeback, especially in France. France, of course, was the country that had suffered from the lockdown in H1 in particular, Q2 2020. So the recovery was rather slow in France starting in April. Current operating profit €471 million. You may remember that in H1 2020 was a loss of €132 million. Operating – current operating margin stands at 2.7%, up 3.6 percentage points for the same period. This is all the more remarkable as the performance is better than that in H1 2019. And this is largely due to Colas’ profitability, and Frederic Gardes has been working hard at making – turning Colas around and we’ll get into that later. Operating profit stands at €551 million in H1 2021 compared with a loss of €176 million 1 year before. That includes €80 million of nonrecurring profit, mostly related to the disposal of data centers by Bouygues Telecom. And the net profit attributable to the group stands at €408 million, considerably – a considerable improvement compared to H1, both 2019 and 2020, but that includes a contribution from Alstom to the tune of €219 million related to shares that we sold in March and June. As you can see, the net debt position at 30 June 2021 stood at €2.8 billion. This is a €1.1 billion improvement compared to 30 June 2020. This is historically low for H – for the first half year. This is because a significant amount of cash came from operations to the tune of €1.9 billion, of course, a positive effect of the disposal of Alstom shares, €1.4 billion. The acquisition of BTBD, this is a new name of EIT, which was purchased by Bouygues Telecom for about €800 million and then the payment of dividends between – in September 2020 and May 2021 of about €1.4 billion. That’s the dividend. The net financial debt does not include the announcement of the acquisition of Destia by Colas announced this morning for an amount of about €0.2 billion. This operation should be completed by year’s end. The debt ratio stands at about 24%. The historical average over the past 15 years was 35%. Now there is a specificity in this industry. There’s seasonality with less business in the winter, especially on road work. And so that is why you have ups and downs in the debt position, especially a difference between end December and June whether the debt position changes considerably. On Page 7, the cash position, we have €3.6 billion in cash and €8.2 billion in undrawn credit lines, unused credit lines without a covenant. So the cash available stands at €11.8 billion compared with €11.1 billion at end June 2020. If you take a look now at the – our sales activity, starting with the construction business, the order book, the backlog for construction stands at €33.3 billion at end June 2021, so this is comparable to the numbers of 2018 and 2019. It gives us good visibility for the future. Compared with June 2020, order book is slightly down 6% on a constant exchange rate basis and restated for disposals and acquisitions. At end June 2020, we had well the non-consumption of the order book. Because of the lockdown, we couldn’t make good on some of the contracts, and then a number of new contracts were acquired over the same period. Bouygues Construction’s share and Colas’ share in the order book abroad is up 1 percentage point at 64% compared to end June 2020. Let’s look at the breakdown of that order book. At Colas, we have historically high levels, €10.3 billion, up 4%, most – first because of the resumption of bids for road works in France, orders up 22% compared to H1 2020. Q2 enabled us to catch significant road contracts in Canada. The rail works, significant orders are expected in H2. At Bouygues Immobilier, reservations for residential property is up – are up 10%, which shows that there’s a great interest and demand. However, the market has been impacted by the long delays for building permits for residential property and for office buildings for commercial property. But of course, clients are waiting to see how things will pan out, now that there’s work from home and such, like the clients are waiting before they start new office buildings. So that’s why that order book is slightly down. Bouygues Construction at end June 2021 is comparable to that of end June 2019. Now the comparison – the basis of comparison compared to June 2020 was high because apart from the lockdown, there was in H1 2020, a contract with HS2 in the UK for €1.1 billion. Looking at Page 12 of the construction business, that performance reflects the recovery in 2020. Revenue for the construction business was €12.8 billion, up 18% over the year. Of course, the improvement is more significant in France than overseas. You have to remember that there was less of a lockdown situation outside France than in France itself. Operating profit – current operating profit stood at €83 billion – €83, I beg your pardon, million after a loss of €437 million in H1 2020. Current operating margin stood at 0.6%, up 4.6 percentage points. Profitability in H1 2021 is higher than that in H1 2019, both for current operating profit and indeed, current operating margin. Now that performance reflects a significant improvement in Colas profitability. You may remember that the profitability has improved as a result of the transformation plan started by Frederic Gardes for the past 2 years, which means that we have better visibility on our work in bitumen quarries but there was also significant restructuring in France to make the whole operation more cost effective, plus we have projects and – starting earlier than expected in Canada. Regarding Colas, there was – this morning, rather, Colas announced its acquisition of Destia as part of its international development. You know that Colas signed this agreement in principle to acquire the company. Destia is a major player in road and rail infrastructure. In Finland, it is number one in road building and maintenance, number two in rail maintenance. That company generated €560 million in revenue in 2020 with upwards of 1,600 employees. That acquisition is very much in line with Colas’ targeted strategy, targeting 3 territories: Northern Europe, the United States and Germany. So this is a great opportunity for Colas to improve its presence in Northern Europe with this foothold in Finland. We have a presence in Denmark and Iceland. And so we are slowly but surely covering the region. That opens up significant growth prospects because of the great needs for road infrastructure, transportation infrastructure in that part of the country. When – well, because of the cold weather and the winter, there are degradations that need to be repaired. Of course, we have to wait for the go ahead from the competition authority. But because we had no previous presence in Finland, that shouldn’t be much of a problem. We’re waiting for the outcome by the end of this year. Let’s move on to TF1’s numbers on Page 15. Well, you had the numbers already on 28th July. Gilles gave you the numbers. The improvement was significant. Since June 2020, we’re back to pre-crisis levels. Revenues stood at €1.1 billion, up 28% over 1 year, close to the numbers of H1 2019 because of a buoyant advertising business, but also the good performance of our production business at Newen Studios. Current operating profit stood at €169 million, significantly up compared to H1 2020 and slightly above that of H1 2019, and current operating margin stood at 15%, higher than in H1 2019. And so for that reason, we’ve given a new guidance for 2021. TF1 is now looking at double-digit current operating margin for 2021, along the same lines of that of 2019, which was 10.9%. A few words about the merger, it is the [indiscernible] between TF1 and M6. The first stage was completed. The staff representatives at Bouygues, TF1 and M6 have given a positive opinion. So we have the go ahead from them. And so we were able to sign the first letter of intent between TF1 and M6. The final operation, again, will need the go ahead from the competition authority and the regulatory agency for TV, but we are on track according to the initial timetable. Let us move on now to Bouygues Telecom. Now on the opening page, we decided not to display a photograph for this business. We simply have the Bouygues Telecom logo with a black bar to remind our view is of the aggression in – that took place in one of our shops. One of our employees was killed, brutally murdered by someone who also injured another employee who is now recovering, but Théo, who was 18, was brutally killed. Dany, his colleague is recovering, and we sent his family our best wishes, but we would like to express our support to all our employees. Regarding the sales performance, Bouygues Telecom has been pursuing its momentum. We have 14.5 million contract clients, not including machine to machine, because we took in 2.1 million BTBD customers in January ‘21, but another 258,000 new customers for the half year. You can see what was – what – well, the target we set ourselves for 2026, Christian gave you the details at the beginning of the year. The operator believes that it should be in a position to acquire an additional 4 million new customers, not including M2M by end 2026. So we’ve already 2.3 million. There is another 1.7 million new customers to be acquired in the 23 half years. I think we can pull it off. On Page 19, you can see the positive momentum in fiber-to-the-home, FTTH. In H1 2021, we have 346,000 new FTTH customers, including 157,000 in Q2 alone. On this chart, you can see the path we have to go. So there’s a longer way to go than for the previous slide because we were looking at 3 million FTTH customers, well, €3 million growth in new FTTH customers by 2026. So we have 22 quarters to achieve that number. Again, this is within reach. Regarding the rollout of FTTH around the country, we are looking at areas of the country where we used not to have a presence for land lines, or indeed, we had – well, we had no infrastructure, but we had no customers either, well, of course the two go together. At end June 2021, Bouygues Telecom had 20.9 million pre-marketed FTTH premises. The objective is to have 35 million by 2026, and we are more present in the public initiative networks. And so we have increased by 57% the number of premises. And so we have a higher number of marketed premises than we had DSL premises. We joined the DSL business rather late in the day. We limited ourselves to the more profitable part of the country, enough FTTH covering the entire country. So there are a whole host of new areas where we used not to be present at all. So now these are new areas where Bouygues Telecom can roll out its network. Apart from the FTTH network proper, we have a whole marketing operation to make sure that these marketed premises can actually be sold. So there have been posters and other advertising methods used to indicate our presence. And then we have agreements with BTBD. Then we – the 4,200 branches of Crédit Mutuel and CIC are as many contact points for this business. So this is how we cover the rural areas. At end March 2021, the market share for FTTH was 15.6%. So that was greater than our DSL market share, which took to reason because, as we said, we had less of a presence for DSL. Now this is in terms of volumes. Let’s look at actual consumption. So not only do we have more subscribers, but we are billing more per subscriber. In the mobile business, the average billing per user is up €0.7 over 1 year to €20.4. Of course, we restated that for roaming. Because of the lockdown, there was no transcontinental travel and so no roaming revenue. BTBD was also left out because its own ABPU was lower than that of Bouygues Telecom. So we restated it for that as well. For landlines, for the fixed telephony, ABPU was up €0.6 to €27.8 at end June. Of course, if you have both – growth both in volumes and in building, of course, revenue goes up. And so revenue for – service revenue at H1 2020 stood at €3.5 billion, up 14% over the year. Only 5% if you restate this for the integration of BTBD. The overall revenue, so both services and handsets, was 14%. EBITDA after lease stood at €758 million, up 7%, in line with the target announced by Richard, which was revised upwards on May 20 this year. Operating profit – operating margin is down because of the dilutive effect of the integration of BTBD because of its lowest – lower ABPU. There’s a mix effect related to the accelerated rollout of FTTH. The reason why this is dilutive is that on the first year, when you roll out the FTTH, the prices are lower. And so of course, if you accelerate the number – the rollout, then the first year will be all that much lower. And then of course, there is no intercontinental roaming because there’s no transcontinental travel and so no revenue coming from there. But operating profit stood at €335 million, up €81 million. But that includes €91 million in non-current income, and that was the capital gains from the data centers. Gross CapEx stood at – was up €173 million, and this is in line with our investment strategy. Disposals stood at €172 million, and that, again, is mostly the data centers. And Bouygues Telecom now is in a position to confirm its guidance for 2021. And now I will give the floor to Pascal Grange, who will give you a detailed presentation of the numbers.
Pascal Grange: Good morning, everybody. Thank you, Olivier. Just some additional explanations on the accounts as of June 30, the income statement, Page 24, I’m not going to dwell on the sales or current operating income that have already been commented. Other operating income expenses amounted to €80 million in the first half of 2021 after a nonrecurring expense in the first half of 2020. As Olivier said, at the end of 2021, it includes €91 million in nonrecurring gains, especially the capital gain on the sale of data centers at Bouygues Telecom. These gains are offset – largely offset by nonrecurring expenses, mainly at Bouygues Immobilier for €6 million as a result of adaptation measures. The cost of net debt improved by €19 million, this variation can be explained by the lower interest on the bond loan taken out in June, offset by a new bond with a much lower rate of interest that was from April 2020 onwards. As for the bottom half of the income statement, where we booked €146 million in corporate income tax after a positive €12 million in the first half of last year. The attractive rate of tax is 34%, mainly due to deficits abroad, which should not give rise to any deferred interest credit. The €124 million increase in the share of net profit of joint ventures and associates between the end of June 2020 and the end of June 2021 was mainly due to the €184 million increase in the contribution of Alstom in this item, also STIF, CIX losses at Bouygues Telecom and at Salto in TF1. Overall, the net profit was €408 million – €486 million, I should say. The group share was €408 million after a loss of €244 million in the first half of last year. Moving on to Page 25 and the group’s balance sheet at the end of June 2021, the total of the balance sheet was €42.1 billion after €40.6 billion at the end of June 2020. Non-current assets totaled €20.9 billion, down €555 million over the period. Two main explanations for this variation. First of all, tangible investments up €184 million, mainly due to big telecom investments in its network. Secondly, the joint ventures and associates item was down €743 million, of which €711 million were related to Alstom as a result of the disposals explained by Olivier, which started in early 2021. I’d also like to draw your attention to the fact that since the second of June this year, because of the clear loss of influence of Bouygues over Alstom, the Alstom investment is at its – is booked at its fair value and in non-current financial assets. Current assets rose €2.1 million over the period. This is in line with the progress in business. So shareholders’ equity declined slightly, and the net income for the period was plus €486 million. Translation adjustments amounted to a positive €129 million, which did not completely offset the €735 million paid out in the form of dividends. Non-current liabilities fell by €225 million, mainly due to the change in non-current debt. Non-current debt actually was down €338 million. The reclassification of the €800 million bond issue due in February 2022 was only partly offset by the loan taken out by Bouygues Telecom from the European Investment Bank for a total of €333 million. The biggest single variation concerns current liabilities, which rose €1.792 billion between the end of December 2020 and the end of June 2021. This was due to an increase in current debt by €725 million, notably due to the reclassification of the big SA bond mentioned above, as well as an increase in trade payables and tax and employee-related liabilities, which are consistent with the level of business in the first half of 2021. Let’s now move on to Page 26 to have a look at the change in net debt in the first half of 2021. As you will have heard, net debt totaled €2.8 billion at the end of June 2021, down sharply by comparison with the end of June 2021. Let’s now compare this change with the year-end 2020. This variation was – can be explained as follows. First of all, the disposal of Alstom shares, which net of cost, as stated here, a total cost of €9 billion for acquisitions. As a net of disposals, a cost of €6 million for the exercise of stock options. We spent €17 million on share buybacks. This amount is slightly higher than what we have recorded in previous years because over the period, we decided to offset the dilution due to the exercising of stock options to limit the impact on employee share ownership in the part of the Bouygues Confiance program. Dividends amounted to €735 million for the period. Last year, by the way, the dividend was postponed from May to September, you will recall, the upshot of all that is that operations varied by a negative €1.06 billion by comparison with €1.65 billion last year. And I propose to dwell on that on the next page, Page 27. Let’s look at net cash flow, which includes the reimbursement of a repayment of lease options, up €739 million over the period due to the sharp increase in business, but also because of the comparison with the net cash flow in the first half of the year, which was considerably lower. Net CapEx was €790 million, up €183 million on the previous period or comparable period. This is a good reflection of the dynamics of our investment in the group’s growth over the next few years. The change in operating working capital requirement and other is virtually stable but compares with the comparable period in 2020. Overall, the change is much better than in the first half of 2020. Thank you for your attention. And Olivier, you have the floor.
Olivier Roussat: I propose to wrap up this presentation, beginning Page 29. The results for the first half were good so we’ve decided to raise our guidance. 2021 sales and current operating profit should be very close to the 2019 level. The current operating margin should return to its pre-crisis level. In 2022, current operating profit should continue to grow, and in fact, exceeds the level it achieved in 2019. Now before wrapping up, we wanted to say a few words about the group’s development strategy. This morning, the Colas group announced the acquisition of Destia. I’d like to put that announcement into perspective, the broader perspective of our development strategy. We are convinced that this strategy will create value for all parties concerned. Let’s begin on Page 32. We so all the results for the first half the year show that the group has a great ability to rebound and that our business model is solid. The pandemic did not in any way jeopardize or call into question our business model. So our position is strong, is solid. If we look at telecoms, well, telecoms are sustained by strong growth in usage and the vast digitalization move concern all industries. As of the construction businesses, well, they benefit from structural demand in mobility, transportation, energy, building, civil works and an increased need for climate change mitigation and solutions to adapt to climate change. We also have a long-term presence in mature countries that know how to launch stimulus plans when required. In media, well, there is been a sharp increase in the consumption of local content and the global advertising market has grown. So our market prospects are buoyant in the short-term for our existing activities, and we are well positioned in these businesses, thanks to our know-how expertise and our ability to innovate. So in this broader context, the group, as you’ll see on Page 33, the group would like to reinforce itself in our businesses. We’d like to accelerate our growth in these businesses. We’d like to grow our portfolio of products and solutions, sustainable products and services. We’d like to take this opportunity to accentuate our differentiation through innovation, quality and through what we call proximity. Slide 34, this strategy is based on a selective and disciplined policy in terms of investment and external growth. Our ambition is to keep our financial structure solid. So the strategy is based on two main thrusts, first of all, our ability to grasp opportunities when we feel they are relevant. And in the sectors in which we are already established, sectors where there are growth prospects. This is very much what we did in media with the proposed merger between TF1 and M6, which would create a major French media group. This is also what we’re looking at in the very fragmented sector of energies and services. This is – I’m referring to the opportunity of investing in the group Equans. Secondly, the second thrust is the idea of targeting forms of expertise, technologies and regions to reinforce our existing businesses. This is the whole idea behind Ambition 2026, which was announced by Richard Viel and Benoît Torloting in 5G and FTTH. This is also the idea behind the acquisition of Destia because Colas is eager to bolster its presence in Northern Europe, Germany and North America. Destia is, of course, in Northern Europe. This development strategy creates value, as you will see on Page 35. For Bouygues Telecom, Ambition 2026, as presented to you, is based on an EBITDA after leases margin of 35% in 2026. Also based on a doubling of cash flow to enable us to reach €600 million in 2026, with TF1, the proposed merger will be – have an accretive effect as of the integration on top of which we expect annual synergies from this merger that we have estimated at between €250 million and €300 million. At Colas, the plan to optimize industrial activities, which are now under the leadership of Frederic Gardes since 2019, this optimization plan, what we call the one Colas quarry operational excellence in our quarries at the world, one Colas bitumen, which involves the creation of continental bitumen, working with our two poles in North America and Asia. What Frederic did at Colas last year with the restructuring of the energy to make it more efficient, goes a long way towards this goal. All of this leads us to a target current operating margin of 4% in 2023. Incidentally, that current operating margin was 3.2% in 2019. Now in Energies and Services, the gradual recovery of our margin should lead us to a margin in excess of 5%. In Energies and Services, we have appointed a new CEO who has taken an in-depth look at the business. The goal is to improve our margins, and it’s already bearing fruit because the margins on current contracts are in the region of 4% by comparison with some 3% 18 months ago. Now this development strategy is completely in compliance with our commitments to sustainable development. And you will recall that the road map we set ourselves for 2021 has four priorities: health and well-being in the workplace, gender equality, the climate and biodiversity. These are four areas in which we are working very actively. Early next year, we will come back to that to take stock of our achievements in this field. Moving on now to Slide 26, enhanced profitability will enable us to share our value created with all stakeholders, our employees who are of course our main asset, our customers, suppliers, shareholders and of course, society in general. That brings me to the end of my presentation. I’d like to thank you for your attention. And along with all the business CEOs and Pascal, we will now happily take any questions.
Operator: [Operator Instructions] The first question is from Nicolas Cote-Colisson at HSBC. Nicolas, you have the floor.
Nicolas Cote-Colisson: Good morning. I have two questions, if I may. First of all, concerning Bouygues Construction, could you tell us a bit more about the competitive landscape in France and elsewhere. On the one hand, we have stimulus plans. But on the other hand, there is a lot of attention around costs, which are high. So if you give us an update on competition and prices. My second question concerns telecoms. Could you – well, could you tell us how you assess your – the pace of your investment in your infrastructure entity? Do you feel you’re at full capacity or could you still upgrade this? Thank you.
Olivier Roussat: First question, which is rather broad based, which raised the whole question of shortages in materials and delivery times. We will give you a very broad-based answer from Pascal, while Richard is preparing for the second question.
Pascal Minault: Good morning, Nicolas.
Olivier Roussat: By the way, I forgot to tell you that Pascal is the new CEO of Bouygues Construction since last Tuesday.
Pascal Minault: Indeed. Concerning the competitive landscape, not much has changed. I think it varies from one country to another, but no major changes since the last time we spoke together. Concerning inflation and the difficulties in the supply chain here and there, there is been a lot of inflation in raw materials in the first half of the year, which has led to different levels of inflation depending on what we’re talking about, particularly in Building Materials. We will have different ways of dealing with these additional costs. First of all, we have good relations with our main suppliers. We have master contracts among others. Also in our contracts in a number of countries, we have clauses that enable us to revise prices that would offset this inflation. So that’s the economic impact of these shortages. You may feel the impact here and there on given work sites, but that is part of the normal run of the mill. There are shortages in certain areas in certain materials often due to an increase in local demand, sometimes due to difficulties which materialized after the pandemic anywhere along the supply chain. Again, we’re well equipped in terms of logistics, in terms of our procurement and in terms of our relationships with our suppliers. So we have continued to do our workout any great disruption. So, no great changes or no great impact in these two areas on our accounts to-date broadly speaking.
Olivier Roussat: Richard?
Richard Viel: In terms of the rationale behind our investment or co-investment, we all take a very pragmatic approach and always with a view to optimizing investments. When you need to optimize your investments or co-investments, you do it depending on your market share. And of course, segment by segment or tranche by tranche, you decide when to invest. So we are driven by market share. It’s market share that tells us we will invest in this area, that area. We used to be rent. We now will invest because there is a better profitability because we have a better or higher volume of customers. And this is constantly being adjusted. There will be more investments made gradually, obviously, in the general interest of the group’s economics.
Nicolas Cote-Colisson: If I could ask another question, in terms of market share gains, you said you had a high potential in areas where you’re not well present in ADSL. What about the high and medium density FTTH areas? Have you still upside potential?
Richard Viel: Well, our business is all about gaining market share. So we’ve been doing this for quite a few quarters. Our fixed assets have constantly been increased. And this obviously gets more and more towards fiber. There is demand and there is demand everywhere. I’m also inclined to say that teleworking has contributed to this demand. We’re well established in high and medium density areas, of course, because there is demand from consumers and prospective clients. So this is not just an opportunity for us to acquire new clients, but there is also a customer base, which is migrating towards fiber. We’re not ahead of the pack. Our other competitors have migrated further than us, so they have less potential than we have, if I can put it that way. Thank you.
Operator: Eric Lemarié from Bryan Garnier. Eric, you have the floor.
Eric Lemarié: Good morning. Thank you for taking my question. I have three, if I may. My first question concerns Equans. Could you tell us a bit more about why you’re interested in Equans? I get that this is an opportunity for you, but maybe you could tell us a bit more. Maybe you could say a few words about your ability to increase Equans’ margins. But Equans is a big company. Maybe you could say a few words about the energy and services market? Secondly, your operating margin, you told us your target for Colas and Bouygues Energy and Services. It’s very interesting, but could you give us some indications about your normalized margins will be for our other construction businesses, Bouygues Construction, for instance, that’s outside of energy and services? And the third question concerns real estate development. What is your – how do you perceive the real estate development market in the second half of 2021 and possibly even in 2022? Do you feel that the various problems will soon be resolved?
Olivier Roussat: I am going to begin with your third question, and then answer the first one. Pascal is thinking about the second question. If Pascal – I will give him time to prepare. Thank you. So, real estate development, the situation as we see it, well, they are two. First of all, treasury is – the treasury sector is at a halt. If you ask people what the needs are in terms of how many square meters they need or floor space they need with teleworking, it’s very hard to answer. These are things that are gradually materializing, gradually taking shape. Certainly, teleworking does contribute and has a very clear impact on a very morose tertiary market. So, I think we need to put the pandemic behind us to see how we will work in the future. We will see what the share of teleworking will be in companies. Second thing I wanted to say is about the residential side of property development. Well, very clearly, between buying land and marketing property, you need a building permit. Now the mechanism of granting building permits has slowed down, [indiscernible] will be making proposals in a few weeks’ time with a view to getting rid of this bottleneck. As for what will actually happen in concrete terms, we are now on the presidential elections, it’s hard to say. But there is certainly demand in the market. Once you put products on the market, the uptake is very fast. I think prices could actually increase due to the scarcity factor in the market. So, there is every reason to believe that we will overcome this in the very – the short-term. As for Equans, you asked about our margins and what we felt we could do with the Equans margins. Our margin was 2.3% in the first half year in Energies & Services. Why are we interested in Equans, because we feel that the Energy & Services market has two particularities. First of all, there is a fact that when this market is well run, there are a lot of small contracts that enabled us to spread risk very widely. So, it happens that the regions that Equans operates in are regions that we are interested in developing in. Equans works mainly in the Europe and the USA. We have most of our operations in Europe and are eager to develop or expand into North America. This is also quite a resilient market, particularly in industrial activities. When you provide services as you should with a client, these are markets that tend to be renewed. So, this is something we need to do through in the form of external growth because it’s difficult to proceed otherwise. The rate of repeat business is very high. When you have a client, they remain loyal. The normalized level of margins in Energy & Services, we believe it should be above 5%. This is why we feel that it’s in our interest to move into – expand into say, Energy & Services. And that’s why we are confident we can achieve 5%. Why, because the work put in by Pierre Vanstoflegatte since his arrival in 2019 has been very selective about what he picked and choose and been optimizing purchasing, central costs. The cash culture is much more widespread in the company and its producing results. So, we feel that if we can turn our own operations around, if we are confident in what we have done in Bouygues Energy & Services and don’t see why we wouldn’t be able to do something similar elsewhere. €12 billion is 3x €4 billion. That’s big by our own standards. But even on that scale, we feel that the mechanics of what we have done on €4 billion in sales can be rolled out to the €12 billion that Equans posts. I believe I have answered your questions. Pascal, I think, wanted to add a word to say about the levels of current operating profit, I believe.
Pascal Grange: I am not sure that Olivier hasn’t answered all the questions, but if I could say differently. In construction, we believe our normalized margins on the region of 3%, 3.5%, which is quite close to what we are already achieving. At E&S, we intend to improve our margins. This will begin at 3.5% before aligning our margins with those of the sector, which are in excess of 5%. At Colas, I think you saw on one of the slides that we believe that the target margin for Colas all combined is in the region of 4%, and we should achieve that by 2023. As for Bouygues Immobilier, we have been a bit – well, somewhere off our normalized margin, which we believe should be in the region of 6% or more. But in this particular context, because of building permits on the one hand and office property, because of those situations, it will take us a little more time to achieve that target at Bouygues Immobilier. I believe we have now answered all three of your questions.
Olivier Roussat: Thank you, Pascal.
Operator: [Operator Instructions] We will give the floor to Thomas Coudry from Bryan Garnier.
Thomas Coudry: Good morning. I do have a question about Bouygues Telecom. Could you share with us some information about the integration with EIT or rather BTBD? More to the point, where do we stand in terms of migrating BTBD customers to the Bouygues Telecom network? I mean, does this translate in terms of EBITDA? And there was – there were also synergies expected in terms of costs. And is the Crédit Mutuel network making any difference? How does that work out? Are we still at the preparation stages or do you still have some ways to go?
Richard Viel: Now we are making good progress and that is good news. And I can confirm that things are going very much according to plan because it’s true, BTBD was a different company with a different company – corporate culture. Our teams have been working very well with their teams. Regarding the migration of customers and subscribers where half of the customers now have switched to Bouygues Telecom, so that’s good news. But many of them were, in fact, already with us, but now it’s more than 50% of them joining us. Of course, we have to bridge the gap to make the operation successful. Regarding synergies, so sharing development costs and whatnot, there – well, we are rolling out landline. The fixed telephony is something new because they used to sell only mobile telephones, mobile telephony. So, now we are rolling out this new service working with our people from Crédit Mutuel, who are helping marketing that. And then the other part of the business, the B2B part of the business, is a new opportunity that we have been acquiring through CIC because that bank works with SMEs. And so there, there will be this partnership with Bouygues Telecom. CIC will be providing new customers that is SME customers. But so far, things are going according to plan. Everything is very comfortable and customers are very happy as well.
Thomas Coudry: If I may, a follow-up question regarding ARPU of former BTBD customers. The ARPU we see was less than that of Bouygues Telecom. So, are you going to bridge that gap or are there any – do you have any reason to believe that you can actually hike up ARPU on these customers, more so than on Bouygues Telecom customers?
Olivier Roussat: Hang on. Well, these people have CIC or Crédit Mutuel contracts. Starting in the form, Bouygues Telecom will have its own offers. And of course, we – well, our purpose is to bring in new customers or bring them to our new offers. And indeed, the good news with telecom is that people are using the service more and more and Crédit Mutuel customers are no different from other customers. And so we have reason to believe that, indeed, ABPU will gradually increase as has always been the case with Bouygues Telecom.
Operator: Alright. The next question is from Josep Pujal from Kepler. Josep, you have the floor.
Josep Pujal: Thank you. I have, in fact, two questions. Number one, on Equans, now that we have a clearer picture of the scope, up for grabs as it were, is it your ambition to get the whole of the amount at being offered for sale? Do you have the managerial capacity to absorb it all, or are you looking at simply a selection of countries, not all the territories? That’s one question. There is another question, still on Energy & Services. I believe that the profit margin in H1 was 2.3%. Can you tell us what it was in H2 of 2020 BYES’ profit margin. Also looking at the – on the order book, you are looking at a potential 4% margin. How – when will this actually materialize in 2022?
Olivier Roussat: So on Equans, we will make an offer for, yes, all of Equans because all the geographies where Equans is present, we have a presence in. So, we are looking at the entire offer. On the profit margin, well, for BYES, well, Pierre Vanstoflegatte is coming in. He has joined us in 2019 and we are looking at better performance. We were at minus 0.4% in 2018. Now we are getting closer to 3%. And we are looking at 4% for the backlog. Of course, there is a gap and we will see whether we actually can bridge that gap anywhere between 2022 and 2023. Thank you. We see no further questions in French. Let’s move on to questions in English.
Operator: First question comes from the line of Jakob Bluestone from Credit Suisse.
Jakob Bluestone: Hi. Good morning. Thank you for taking the questions. I had a couple of questions, please. Firstly, I was just interested, what are your expectations around the Biden stimulus plan? Do you expect to capture a meaningful revenue from that – meaningful amount of revenue from that plan and if so, when? My second question is on the 4% target – margin target for Colas, can you maybe give us a little bit more detail on how do you expect to achieve that? Is it through cost cutting? Is it through revenue growth and operational leverage? What is it actually that will help you get there? And then just finally, your fixed broadband net adds in telecoms were, I think, 34,000, maybe a little bit low. Is there any particular reason for that? Was that just seasonality or just sort of interested in any color you can give on your fixed ads? Thank you.
Olivier Roussat: So, I will let Frederic answer to the impact of the stimulus plan, which is planned for U.S. Maybe one comment about the goals that we have got for the current operating margin, this is a mix of several things, mainly not especially in the cost cutting because we did it already, but it’s more process, more efficient, mainly through the process that we pursue that we call One Colas Quarries and One Colas Bitumen. The aim of this is to extend to the entire group new way of working, where we take the best practice from one part of the world and we put it around the world. But maybe for the impact of the stimulus plan, I will let Frederic answer.
Frederic Gardes: Yes. Thank you. Yes. Well, the fact that the Biden stimulus plan has been agreed or there is a high probability that it will be agreed is, of course, good news. We are currently analyzing that. I mean this plan of $1.2 trillion, I think it is, is actually built from a number of projects and areas that they want to inject that money into. So, we are analyzing that and seeing how that fits our current footprint in the U.S. It fits it pretty well. So, it’s too early to tell exactly what the impact will be in detail, but it will be positive. However, we don’t see any material impact from the plan before earliest next year, 2022.
Olivier Roussat: Okay, Richard?
Richard Viel: Yes. Well, about the growth of the fixed lines during Q2 compared to Q1, you need to understand that France is a specific country with basically a Q2 which is always a little bit lower than the Q1. And if you are looking at in comparison to what we did in 2020 compared to 2021, it’s quite similar. Because in France, the May – the month of May is a half month because most of the times, the people are in holidays during this period. So, we don’t see any variation in our forecast about the growth of Q3 that could be normally bigger than the Q2 as usual. And so we see that as a normal way. It’s nothing else. So, we consider that we are on an appropriate trend on the market.
Jakob Bluestone: Thank you. Next one.
Operator: The next question comes from the line of San Dhillon from Exane. Please go ahead.
San Dhillon: Yes. Thank you for the question. Just a question on Equans as well, you talked about improving margins to above 5% in Energy & Services. I wondered if you could give a bit more detail about how you are improving the margins and whether you see any structural factors that mean margins in North America should be higher or lower than Europe and if efficiencies are more difficult to achieve. I don’t know if there is any color you can give us on what your experience is between the two regions in Energies & Services. Thank you very much.
Olivier Roussat: I am sorry, I am not sure I catch everything you – but the difference between the U.S. and Europe, about the level of margin we could achieve in the Energy & Services.
San Dhillon: Correct. Exactly, yes.
Olivier Roussat: And our ability to do it. I mean I am not sure that the information about Equans in the U.S. was public. I don’t think its public information right now. We received them, but we cannot have any communication on them. What we could say is that its good positions they have got there. And with what we do in the U.S., especially where we work for Colas, for example, and Bouygues Construction. It’s true that it’s possible to achieve in North America a better level of margins that we could do in Europe. So, this is something that we could do it also, we think, in the Energy & Services business. And we have got already the ability to do it as we have got already remote location and remote operation on those areas. I remind you that for – in the construction business, we are already in North America, Canada, USA and also Latin America with Chile and – Chile. That’s all. In Peru, sorry. So, it fits quite well with the business, with the operation of Equans. So, we consider that we have got the ability to do it by ourselves.
San Dhillon: And if I could just ask a short follow-up, I think – and there is a bit more speculation, but there were rumors before that you would be looking to bid with a partner, maybe a private equity firm. And now that seems to not be the case. I don’t know if you would be happy to expand on why or what you are thinking is and how comfortable you are with leverage and what kind of leverage you would be happy to see in the business?
Olivier Roussat: So, I saw Pascal wanted to answer, so he can join me.
Pascal Grange: No. In fact, there is – effectively, there is a rumor saying that we will submit our offer with a partner, but this is not a good rumor. In fact, we will be alone and we will submit an offer for a loan and – sorry. So, we have the ability to do so. You have seen our balance sheet where our balance sheet is strong enough to be able to be – to develop that activity without a partner.
San Dhillon: Thank you, guys.
Olivier Roussat: Thank you.
Operator: [Operator Instructions] Okay, we have [Technical Difficulty] so I will now hand back to your host for any closing remarks.
Olivier Roussat: That’s all. So, I thank you for your attention.
Martin Bouygues: Thank you for your attention. And I wish you all a very pleasant day. This Q&A session has now been brought to an end. Thank you and see you soon.